Operator: Good day, ladies and gentlemen and welcome to the Fourth Quarter 2013 Orion Marine Group, Incorporated Earnings Conference Call. My name is Jenaida, and I will be your operator for today. At this time, all participants are in listen-only mode. Later, we will conduct a question-and-answer session. (Operator Instructions) As a reminder, this conference is being recorded for replay purposes. I would now like to turn the conference over to Mr. Drew Swerdlow, Senior Financial Analyst, Investor Relations. Please proceed.
Drew Swerdlow: Good morning. Welcome to the Orion Marine Group fourth quarter and full year 2013 earnings conference call. Joining me today are Mike Pearson, Orion Marine Group’s Chief Executive Officer; Mark Stauffer, our President and Chris DeAlmeida, our Chief Financial Officer. Regarding the format of the call, we’ve allocated about 20 minutes for prepared remarks in which Mike, Mark and Chris will highlight our results and update our market outlook. We will then open the call for sell-side analyst questions for the remainder of the time. We would ask that you limit your questions to one question and one follow-up before getting back into queue. During the course of this conference call, we will make projections and other forward-looking statements regarding, among other things, our end markets, revenues, gross profit, gross margin, EBITDA, EBITDA margin, backlog, projects and negotiation and pending award, as well as our estimates and assumptions regarding our future growth, EBITDA, EBITDA margin, gross margins, administrative expenses and capital expenditures. These statements are predictions that are subject to risks and uncertainties, including those described in our 10-K for 2012 that may cause actual results to differ materially from those statements. Moreover, past performance is not necessarily an indicator of future results. By providing this information, we undertake no obligation to update or revise any projections or forward-looking statements, whether as a result of new developments or otherwise. Also please note that EBITDA and EBITDA margins are non-GAAP financial measures under the rules of Securities and Exchange Commission, including Regulation G. Please refer to the reconciliation accompanying this earnings call available on our website at www.orionmarinegroup.com for comments on the use of non-GAAP financial measures as well as applicable reconciliations to the most comparable GAAP measures. Also, please refer to both of the press releases issued this morning, February 27, 2014 and our quarterly and annual filings with the SEC, which are available on our website for additional discussions of risk factors that could cause actual results to differ materially from our current expectations. Please note we intend to file our 2013 Annual Report on Form 10-K within the next two weeks. With that, I’ll turn the call over to Mike Pearson, CEO. Mike?
J. Michael Pearson: Thank you, Drew and thanks for joining us this morning. I’d like to start off and just take a moment to thank our 12 honored co-workers for all their hard work and dedication. It’s because of their commitment the 2013 was a successful year. We achieved the highest revenue in the Company’s history with both solid bottom line and EBITDA growth as compared to 2012. We are pleased with our results for the quarter and the full year and we believe we’re well positioned to meet future growth opportunities. We remain focused on executing our strategy by maintaining a high level of backlog through bidding effectively and focusing on opportunities that best suit our specialized marine assets. Given our current fleet of equipment and specialized work force, I believe our market fundamentals can support significant growth over the long-term. As you probably saw this morning, earlier this week, I notified the Board of my plans to retire at the end of this year. Over my tenure at Orion, we’ve accomplished a great deal including a solid growth in our operational assets and capabilities, broadening our talented workforce, expanding our permit presence in the new markets and managing through a significant downturn in the economy. As we look ahead, I believe Orion Marine Group is well positioned for the future and for continued growth. In conjunction with my retirement notification, the Board has begun to implement its succession plan and we will be working together over the next 10 months to provide a smooth transition. As a first step of this plan, the Board has named Mark Stauffer, President of Orion Marine Group effective immediately. In this role Mark will continue to oversee the daily field operations of the Company while working with the Board in the years, we fully transitioned the duties of Chief Executive Officer to him by the end of the year. Mark has been instrumental to the growth and development of Orion since he joined the Company in 1999, about 15 years ago and has been part of operations and management oversight since that time. Since 2011, Mark has directly overseen the daily field operations of the Company and then a key executive implementing the Company’s turnaround plan. Mark and I both share a vision of how to grow the Company and I know Mark is going to continue to executive our strategic plans for the Company, while remaining focused on increasing shareholder value. Additionally, Chris DeAlmeida has been named, Vice President and Chief Financial Officer. Chris is an accomplished Financial Executive with over 15 years of public company accounting and financial management expense and he has overseen most of the daily financial and accounting responsibilities of the Company since 2012, when he was named Vice President of Finance and Accounting. Prior to that Chris has been steadily increasing his responsibilities within the Company since joining as Director of Investor Relations back in 2007. I’m confident that Mark, Chris and the rest of our management team will be successful in continuing to growth the Company as they’ve already been instrumental in our growth to-date. And the through the remainder of the year, I’ll be actively engaged with Mark and the Board during this transition. And I’m excited to remain on the Board of Directors after my retirement at the end of the year and I looking forward to continuing to support the solid growth of the Company in years ahead. Overall, we’re very pleased with our continued improvement in our bottom line results and I believe we’re on the right path for continued growth in the future. Orion Marine Group is a strong company with a solid team who do a tremendous job every day. And with that I’ll turn the call over to Mark and Chris to discuss our market outlook and financial results in more detail. Mark?
Mark R. Stauffer: Thank you, Mike and thanks for joining us this morning. We are pleased with our strong finish to 2013, as well as our outlook as our market drivers continue to show positive signs of development. In 2013, we bid on a record $1.7 billion worth of work, demonstrating and our identifiable debt market continues to be strong. Our full-year EBITDA increased by over 271% to approximately $21 million and we saw 45% improvement in our full year EPS as compared to 2012. Overall, our market drivers continue to be strong and we are on a right path as we were focused on returning to the historically margins we enjoyed just a few years ago. Turning to our market outlook, we remain encouraged by our long-term end market drivers and we are confident in our outlook over the long-term. Demand for our services from the private sector continues to be strong as we’ve been on projects for multiple types of clients including energy-related companies and private terminal offerings. We expect to see strong demand for improvement and new construction of Marine infrastructure related to the energy sector for at least the next couple of years. We also expect opportunities in the Caribbean from a multitude of different customers to continue throughout 2014, as customers look to expand and replace their Marine infrastructure. Bid opportunities from local port authorities also remained strong. We continue to see local ports throughout the country undertake capital expansion plans in anticipation of larger ships and increased cargo volumes once the expansion of the Panama Canal is complete. Projects from state governments related to transportation spending for bridges also remain a steady source of bid opportunities. However, with current transportation bill expiring this June, developments regarding the passage of new bill will be closely monitored. My preference would be to see longer-term visibility for many new bill, which we believe could lead to pricing improvement. Additionally, we continue to expect environmental restoration and remediation projects to be a good source of bid opportunities. Specifically, we are hopeful there will be meaningful developments in funding and restore act during 2014, which could lead to projects coming out for bid later this year and into 2015. Finally, with regard to federal spending, we remain uncertain as to the pace of Army Corp of Engineer lettings although the passage of a two-year budget deal in January is encouraging. We believe core lettings in the first half of the year will remain choppy, but could improve in late 2014. Additionally, we are still closely tracking developments of the Water Resources Reform and Development Act of 2013, which remains in conference committee with the Senate version of the bill. This legislation will authorize but not fund several large scale water infrastructure projects as well as correct the funding gap between Harbor Maintenance Trust Fund receipts and expenditures for dredging projects, which we believe is an important step towards achieving self-funding for the maintenance of the nation’s waterways. At the same time we continue to look for opportunities to deploy our dredging assets in the private sector. Along these lines, last year we identified the shortage in capacity to take dredge material from our private customers along with Houston Ship Channel. To meet this need earlier this week, we closed on a parcel of land along the Houston Ship Channel to be used as a dredge material placement area. We’re in the process of increasing the capacity of this DMPA and expect to begin receiving dredge material toward the end of the second quarter of this year. By owning this property, we will have the ability to service our private clients along the Houston Ship Channel, deploy some of our dredging assets more efficiently and generate additional revenue from disposal fees for years to come. This purchase provides us with one of the only operating private dredge material placement areas along the upper end of the Houston Ship Channel, and believe this property provides us with enough capacity to meet the needs of our customers in the area for at least the next decade. In closing, after a solid year of growth for the company in 2013, I’m excited about the prospects for 2014. Our solid backlog level, a strong private sector, improving end markets and potential industry catalysts gives us opportunity to make 2014 another growth year. We are poised to capitalize on these opportunities with our specialized workforce, fleet of equipment and geographic coverage. Overall, we are pleased with our end market drivers and we believe significant opportunities for continued growth exist, and we are eager to see sustained profitable results. Before I turn the call over to Chris, I wanted to touch on the management changes we announced this morning. Mike and I have worked well together over these past eight years and we have managed together through some historically strong periods as well as through the most challenging economic conditions since the great depression. I believe we are on the right path and we have strong future. I am very pleased to be taking over the role of President of the Company and look forward to working with Mike and the Board to transition the CEO duties to me at the end of this year. As many of you know, I’ve been with Orion for over 15 years, and I have seen this company grow substantially in that time. However, I believe we still have tremendous amount of growth opportunities in front of us. We plan to continue to pursue a growth strategy and explore complimentary, but diversified service offerings while focusing on increasing shareholder value. I’m also pleased Chris is taking over the role of Chief Financial Officer. I believe Chris has the right skill set to oversee and manage all financial aspects of the Company and I believe he will continue to help us deliver solid financial information. Chris has been an integral part of the management team for some time now and has overseen and led many initiatives over the past few years. I am confident that going forward Chris will continue to provide solid oversight of our financials as well as being a key part of managing and executing our growth plan with the rest of the executive management team. With that, I will turn the call over to Chris to discuss our financial results in more detail.
Christopher J. DeAlmeida: Thank you, Mark, and thank you for joining us this morning. For the full year of 2013, we reported net income of approximately $300,000 or $0.01 per diluted share. These results compare with a net loss of $11.9 million or a loss of $0.44 per diluted share in the prior year period. For the full year 2013, contract revenues increased 21% year-over-year to $354.6 million, of which 43% was generated from federal, state and local government agencies, while 57% was generated from the private sector. This compares to 49% from federal, state and local government agencies and 51% from the private sector in the prior year period. SG&A expense for the full year of 2013 was $32 million, an increase of approximately 12% as compared with the prior year period. This increase is primarily a result of increased staffing and overhead costs resulting from the expansion into Alaska at the end of 2012, as well as bonuses payable to non-executives and an increase in bad debt expense related to a single job for a small private customer. As you may have noticed in our earnings release this morning, we’ve realized a profit for the full year of 2013 despite having a pre-tax loss of approximately $600,000. This is a result of a tax benefit that was driven by permanent and temporary timing differences of our tax provision primarily related to the equipment appreciation and amortization of intangible assets. While we still have $7.6 million of federal NOLs to use going forward, we believe our 2013 book tax rate will be closer to our statutory rate of 35%. For the fourth quarter of 2013, we reported net income of $2.1 million or $0.08 per diluted share which compares with net income of $1.5 million or $0.05 per diluted share in the prior year period. Fourth quarter contract revenues increased 8% year-over-year to $106.5 million, of which 38% was generated from federal, state and local government agencies and 62% was from the private sector. This compares to 30% from federal, state and local agencies and 70% from the private sector in the prior year period. During the fourth quarter of 2013, we’ve bid on approximately $4 million worth of opportunities and we’re successful on approximately $137 million. This resulted in a 28% win rate for the quarter with a book-to-bill ratio of 1.29 times. For the full year 2013, we bid on approximately $1.7 billion worth of opportunities and we’re successful on approximately $420 million. This resulted in a 25% win rate for the full year and a book-to-bill ratio of 1.18 times.
 : Now turning to the balance sheet. As of December 31, 2013, we had $41 million of cash on hand, which compares to $43 million at the end of 2012. As of December 31, 2013, we had access to $34 million under our revolving line of credit and term debt outstanding of $8.6 million. As we announced this morning, we recently closed on the purchase of a dredge material placement area in the upper Houston Ship Channel for approximately $22 million. The purchase of this property was paid in cash at closing and was funded by drawing on our credit facility. Therefore, as of today we have approximately $31 million of debt outstanding, including $22.5 million on our revolving credit facility and term debt outstanding of $8.6 million. As Mark mentioned, the purchase of this dredge material placement area allows us to service our private customers along the Houston Ship Channel, deploy some of our dredging assets more efficiently, and generate additional new revenue from disposal fees. We believe we will see a solid return on this investment over the next five years. Additionally, our bonding program remains solid and is more than adequate to support our bid activities. Also, we continue to enjoying an excellent relationship with both our lender and surety. Overall, we are pleased with our financial position and remain focused on maintaining a strong balance sheet. An encouraging end to 2013 and gradually improving market conditions gives us confidence in the year ahead. However, as we mentioned on our investor update in January, given the shift and project schedules in 2013, we expect to have less production on certain jobs in the first quarter of 2014, which will result in a decrease in equipment utilization and put pressure on first quarter margin. Still we believe that with our solid backlog level and the amount of bid opportunities we see for the remainder of the year, 2014 will be a profitable year. Finally, with regard to the management changes announced this morning, I am excited to take the role of Chief Financial Officer for the Company and look forward to continue to work with Mike, Mark and the rest of the management team as we focus on continuing to grow the Company or increasing shareholder value. With that, I’ll turn the call over to Drew to begin the Q&A portion of the call.
Drew Swerdlow: Thank you, Chris. We would now like to open the call up for questions. Jenaida, would you please review the procedures for placing a question.
Operator: Thank you. (Operator Instructions) Your first question comes from the line of Jon Tanwanteng with CJS Securities. Please proceed. 
Jon E. Tanwanteng – CJS Securities, Inc.: Good morning, guys. Congrats on the strong quarter, and Mike, on your expected retirement, and Mark and Chris, on your promotions.
 :
Mark R. Stauffer: Thanks Jon. 
Christopher J. DeAlmeida: Thanks.
Jon E. Tanwanteng – CJS Securities, Inc.: Yes. Can you quantify how much of the business in Q4 was actually pulled in from Q1, and also, are there any expected impacts from weather at all?
Christopher J. DeAlmeida: We didn’t give specific numbers around how much of the business was pulled forward, but we did see a decent amount of business pulled forward and that will make a negative impact on the margins and the results for the first quarter. It really wasn’t a weather factor per se, it was more just general production and our ability to produce a little bit better, so you’ve got a situation where production was better on certain jobs was pulled into the fourth quarter, but we have new jobs that don’t really get started until the second quarter, so there is just a gap in between there.
Jon E. Tanwanteng – CJS Securities, Inc.: Okay, thanks. And then, maybe can you talk a little bit more about priorities for cash on the balance sheet? Obviously, you have this nice $22 million purchase of the land. Are there other investments or potential return to shareholders being considered?
Christopher J. DeAlmeida: Well as we said this morning and we’ve said for the previous quarters, we’re continuing to look for ways to grow the business, look for opportunities. As we’ve said, we want to be opportunistic for any opportunities that come along. We have our facility in place, funding is fairly cheap right now, so we just wanted to make sure we maintain strong balance sheet and we have the availability under the revolver and as we have, we continue to look for things and we will continue to do so as we go throughout 2014.
Jon E. Tanwanteng – CJS Securities, Inc.: Okay, great. And then given the strong outlook, I guess past Q1, how soon do you think it might be possible to return to the historic high teens, low 20s gross margin level?
Christopher J. DeAlmeida: Well that’s a tough question. Obviously that’s a thing that motivates us. It has motivated us for quite some time as you know we’ve come through this downturn. That’s tough to say, I mean, I think we obviously have said we expect 2014 to be an improvement over 2013 and in fact we’ve said we expect to be profitable in 2014. It’s tough to say, I mean we have got a lot of good things going on in terms of our end markets. We still have some concerns about the choppiness of the core of engineered lettings. Despite the positive development of having two-year budget deal that happened in January, we still kind of expect that we’re going to see choppiness from the core, at least for the first half of the year and we don’t necessarily expect to see any improvement out of that until late in the year or so. So the other thing is as we’ve said, we’ve seen pockets of pricing improvement that’s still not universal and widespread. So again we are kind of headed in the right direction. Our goal is to get back to those historical margins, but I think it’s tough to say when that actually occurs.
Jon E. Tanwanteng – CJS Securities, Inc.: Okay, great. Maybe just one final one; I am just wondering, have you heard anything out of the WRDA conference? Is there any obstacle to getting it done? I think one of your competitors mentioned they don't expect it to pass until summer.
J. Michael Pearson: That’s probably a good prediction there to the end of the year, I mean, it seems like there is support for the WRDA bill on both sides of the aisle. It's a matter of reconciling the amount of money that’s committed for WRDA and there is a pretty big disparity between those ranges, some like $8 billion to $12 billion and now that the debt ceiling has been raised temporarily, it may provide a relief for them to reconsolidate difference, but we anticipate that the President is ready to sign this thing into the law as soon as both sides get it to on the table.
Jon E. Tanwanteng – CJS Securities, Inc.: Okay, thank you very much, and congrats again. 
Christopher J. DeAlmeida: Thanks Jon.
Operator: Your next question comes from the line of Veny Aleksandrov with FIG Partners. Please proceed.
Veny Aleksandrov – FIG Partners LLC: Good morning and congratulations on all the changes.
Christopher J. DeAlmeida: Thank you, Ma’am.
Veny Aleksandrov – FIG Partners LLC: My first question is, again, on margins. Looking at 2014, how much of an improvement of the margins can we expect to come from utilization of equipment and how much from price? And you can then a couple of quarters ago, you are talking about trying to push pricing and bidding and higher prices, and your win rate was lower. Is it still the case and you mentioned the products of pricing improvement, but what's happening on the bidding side?
J. Michael Pearson: Yes, I will take the first part of that. Generally speaking on the pricing front and the margin front, we have started to see some pockets of improvement in pricing but that’s still is not widespread across the Board. Also keep in mind there is a lot of projects in the backlog that we still have to work out. So even if pricing turned immediately today and we’re immediately back to our historical margins, we still have some work to work off, so it will take a little bit to see that go in our result. I think as we look at 2014, we’re hopeful that we will continue to see more pockets of pricing improvement and maybe even get to a little bit more light spread by the end of the year. Right now we’re really not factoring it in. We do expect decent utilization of our equipment with the caveat being the dredge assets in particular. You will have to see how the choppiness of the core lettings go and then the private sector and dredge utilization there to see how that factors into the overall market. 
Christopher J. DeAlmeida: Yeah, I think just to reiterate that I mean that’s kind of the big, we’re as we said expecting a little bit of gap in Q1 to put some pressure on margins. As you know we get ready to gear up on some of the projects in particularly that we had announced that will start in Q2 and also the impact of the core choppiness is definitely we’ll see an impact of that in the first half of the year, We’re hopeful that we’ll see improvement in core lettings in the back half of the year. We’re also very hopeful that given the two-year budget deal and despite the mid-term elections are coming that we’ll have the appropriation builds for fiscal year 2015 in place by September 30. Again we’ll have to closely monitor that, but to the extend that happens then that should go a long way towards helping to smooth out some of that choppiness particularly in the later part of this year and then likewise as we talked about this morning in our remarks and then in the release this morning, the impact of the purchase of the DMPA in Houston, we’ll be working as we go into the second quarter and beyond to be able to service our private customers and then get some dredging assets deployed in the private sector. 
Veny Aleksandrov – FIG Partners LLC: Thank you so much. That answers my first question. Then on the Water Reform Development Act, you mentioned in the press release that you saw in the RESTORE Act you expect bidding opportunities in the next 12 months to 24 months. Are we talking more 12 months or more 24 months?
Christopher J. DeAlmeida: Well again it depends as Mike was talking about when we see passage of that again there is no doubt in our mind that there is overwhelming support on both side of the aisle for the WRDA bill, you just have to look at how much they passed by in each aisles and the President has indicated he will sign it. It’s just a matter of working its way through the calendar, so hopefully that does happen and the expectation is that it will happen in this Congress. So again that, the biggest impact that we expect to see out of that in the shorter term is the correction of the HMTF funding. Again as a reminder that the projects that are included in that bill, this bill authorizes where each of the bill authorizes them, but it doesn’t fund them. So it’s an important first step, but the more immediate impact to us is the correction of the HMTF issue, which could be a good injection of funding into the system. With respect to the RESTORE Act, again I think the second parts of the trial to assess the Clean Water Act fines is underway, hopefully, we will see resolution on that at some point over the next few months. If that is the case, then we would expect that money to flow at some point towards the end of the year. So it’s a little bit of a broad range, but I’d say it’s somewhere in that range, not more closer to 12 months to 24 months, I don’t think we will see a lot, certainly in the first half of this year, but maybe towards the end of the year, we will start seeing the positive impacts of both those things.
Veny Aleksandrov – FIG Partners LLC: Thank you so much. Appreciate it and congratulations again.
Christopher J. DeAlmeida: Thank you.
Operator: Your next question comes from the line of Jack Kasprzak with BB&T.
Jack F. Kasprzak – BB&T Capital Markets: Kasprzak, anyway, good morning, guys. Congratulations on a good quarter.
Christopher J. DeAlmeida: Good morning, Jack.
Jack F. Kasprzak – BB&T Capital Markets: Good morning. 
J. Michael Pearson: Who that was Jack?
Jack F. Kasprzak – BB&T Capital Markets: Yes, thank you. That was worst than usual, but anyway, with regard to the dredge material placement area, I was just wondering if you could talk a little bit more about that in terms of the impetus to make that investment? I mean, was it something that clients or potential customers were telling you that would put you in a better position to win work, are there certain types of new projects coming up that kind of requires this function on your part and positions you better for projects, I mean, just a little more color there, maybe?
J. Michael Pearson: Sure. Well, let me just explain the situation on the Houston Ship Channel. There is so much development taking place up and down the Houston Ship Channel. It’s just very impressive, the number of projects that are either being developed or planned or currently under construction. And as that expansion grows, the amount of available sites for storage of dredge materials has continued to reduce year-after-year, and a lot of the cores dredge disposal sites that we built in the last three, four years have been along the main channels, the big proportions further out, but we’re – there has been difficulties on the upper Houston Ship Channel. They are running out of places, and we were fortunate enough to identify from talking to our clients and listen into what are you needs and how do we provide solutions, because they were worried about running out of places to get their docks cleaned up. And we just determined that it would make sense for us to operate disposal site on our own privately and meet these clients’ need, so that they weren't shut out from some of the other disposal sites. So it’s a matter of – the demand is there, and we anticipate a couple of months of startup to get this facility going. The site was actually run as a dredge disposal area by the port of Houston years ago, it go, the land goes back to the 1930s and it was developed and operated as the disposal site. And all we are doing is reactivating it. But it’s a lot of acreage is nearly 340 acres is split into halves and we’ll be able to divide that up and meet our clients’ needs. And I can assure you our clients are greatly relieved to have this alternative to use this. So we’ll be negotiating some contracts and moving forward on that and executing the work in the back half of the year.
Mark R. Stauffer: Yes, Jack just to further on what Mike said is that, our intention is to, we will only be using this for our private sector clients, any core work up and down the ship channel, they have got their own areas to go to. So this will be used for private customers. And another thing just as, I think I mentioned in my remarks and Chris did as well, we – there is also disposal fees associated with that. So it is a new source of revenue for us and it allows us to again as Mike said meet the needs of our customers. On the private sector, not only for maintenance needs, but also for some of the expansion docks that we’ve announced or we’ve identified as work that we’ll be going after to bid on.
J. Michael Pearson: And it will help us better schedule our equipment, one of the things we’ve been fighting with the last three years has been utilization and having continued work. And we expect to get some additional work in the Houston Ship Channel through port of Houston projects that they have planned one of which we’re the apparent low bidder on. And between those projects to have a facility that we can deal with our clients and say, hey, we can fit you in on a window and they can pre-book is a win-win for everyone. And so, we think it’s going to be very interesting time for us to manage the next decade.
Jack Kasprzak Jr. – BB&T Capital Markets: Great, thanks for all that color. My second question, just on the sort of guidance with regard to margins from Q4 to Q1, and step down in utilization, so obviously we are looking at a sequential decline in margin. The same thing seemed to happen last year from Q4 to Q1. Is there a way to think about the margin first quarter of this year versus first quarter of last year? Should it be sort of similar, or are we looking at a similar sequential step down, is that the way to think about it, maybe?
Christopher J. DeAlmeida: Yes, I think generally speaking on that Jack, you’re going to see a sequential step down. It’s, as far as magnitude speaking, you’re probably at a similar magnitude last year Q4 2012 to Q1 2013 as you will see Q4 2013 to Q1 2013.
Jack Kasprzak Jr. – BB&T Capital Markets: Okay, thanks, Chris. I appreciate it, guys
Christopher J. DeAlmeida: You bet, Jack.
Operator: Your next question comes from the line of John Rogers of D.A. Davidson. Please proceed.
John B. Rogers – D.A. Davidson & Co.: Hi, good morning.
Christopher J. DeAlmeida: Good morning, John.
John B. Rogers – D.A. Davidson & Co.: So congratulations to everybody, especially Mike, good for you. A couple of things, just in terms of the current backlog that you have, I mean at record levels, but what does the margin within that backlog look like?
Christopher J. DeAlmeida: The margin is very similar to what we’ve been talking about over the last couple of quarters. There is some improvement in certain areas, there is some pockets of improvement in that. But it’s also still have some level of lower margins that definitely we still have to execute on over time.
John Rogers – D.A. Davidson & Co.: But Chris, when you say lower margins, you mean just lower versus historical, I mean, the margins are still going up, right?
Christopher J. DeAlmeida: Yes, in line with what we’ve been talking about, we’re not seeing a further lowering of margins, we are seeing, so they continue to be stable and we are seeing pockets of improvement along the way.
Mark R. Stauffer: Yes. Just follow on, I mean, again it’s got a status quo, it’s moving in the right direction again pockets of improvement. And then again, as you’re well aware that especially with a lot of the new work we announced and things like that, and when we start seeing margin improvement in that backlog that does take a while to work through the P&L. So, again we think we’re moving in the right direction and even where we’re not seeing pricing improvement, we do have stable pricing. So that’s again very important.
John Rogers – D.A. Davidson & Co.: And Mark, I guess in terms of the – as we think about the difference between the private and the public sector backlog, these private jobs, my impression extend out further as well than maybe what we would have seen five years ago. In other words, there is almost $250 million of backlog. Does some of that work extend out into 2015?
Mark R. Stauffer: Some does, and it’s a myriad of work. I mean, certainly there is larger work that we’re able to go after and do go after, and we’ve been successful in getting. There has been a lot of capital type projects in the private sector. As we’ve said in the past a lot of times, assuming that we have all engines clicking if you will, in our various end markets then it just becomes a function of what we go after and what we’re successful in getting. There is no doubt though right now that we are seeing a pretty buoyant private sector market in terms of bid opportunities. But they also run the gamut. There is also smaller work in that sector, the $5 million, $10 million under $5 million jobs and things of nature along with some of the larger work, And so, good cross-section of the type of step that we’ve continued to work on. But no doubt some of the larger steps that we’ve announced extends out in the 12 months to 24 months duration versus some of the smaller step being 3 months to 9 months type duration.
John Rogers – D.A. Davidson & Co.: Okay. And then, lastly, given what you are looking at in terms of the market, and I’m thinking more over the next two years, three years, how are you in terms of equipment and what do you need in terms of – are you looking at any major equipment additions, capital spend, because it seems like it has been lower over the last couple of years?
Christopher J. DeAlmeida:
 :
John B. Rogers – D.A. Davidson & Co.: Before the land purchase, right?
Christopher J. DeAlmeida: Correct, yes sir.
John B. Rogers – D.A. Davidson & Co.: Yes, yes.
J. Michael Pearson: And other than that, we do have a new fuel barge that we will be building an additional on this year to just get the double hold issue addressed and make sure we have that complied with. But other than that we do think that we’ve got, we can sustain growth with what we’ve got right now.
John B. Rogers – D.A. Davidson & Co.: Okay, great. Thanks for the color.
J. Michael Pearson: You bet.
Operator: Your next question comes from the line of Alex Rygiel with FBR Capital Markets. Please proceed.
Alex J. Rygiel – FBR Capital Markets & Co.: Thank you. Good morning gentleman.
J. Michael Pearson: Good morning Alex.
Christopher J. DeAlmeida: Good morning.
Alex J. Rygiel – FBR Capital Markets & Co.: Mike and Mike and Chris, do you feel more comfortable that you could be nearing the point to providing guidance? I mean are you getting that kind of visibility internally that has given you the confidence, possibly at some point, 2014, to offer up some guidance?
Christopher J. DeAlmeida: Alex we’ve constantly looked at that and we’re continuing to look at that. We do feel we’re getting a little bit clear visibility on some of the market attributes, but then again you still have some pieces of the market like Corps of Engineers, that while we’re hopeful the budget really helps us out, we haven’t seen that yet. So I think it’s a little bit of it’s going to take some time, it is something we continuously evaluate or not really ready to give guidance yet. And the other thing of course, we want to factor into the whole picture if kind of the lumpiness that happens in the construction business that, again, can make it difficult. Perfect example, the fourth quarter we had a great result in the fourth quarter, but that’s purely as a result of production and the jobs moving forward and that’s going to make an impact in the first quarter.
Alex J. Rygiel – FBR Capital Markets & Co.: And secondly, on the DMPA, can you talk a little bit about sort of what the annual revenue opportunity is with that, and maybe talk about mix between sort of internally used versus third-party receipt of materials. And then how should we think about the margin opportunity of that revenue stream? And then lastly on that same topic, are all the permits in hand and what kind of environmental liabilities are associated with it?
Christopher J. DeAlmeida:
. : On the margin front, we do expect this to be a fairly strong margin business it should be at or above kind of our margin profile, high end of our margin profile, so we do can expect to see a decent margin from this business. 
 : On the margin front, we do expect this to be a fairly strong margin business it should be at or above kind of our margin profile, high end of our margin profile, so we do can expect to see a decent margin from this business. 
J. Michael Pearson: Yes, keep in mind that $7 million figure that was mentioned you are only going to have the second half of the year to generate revenues, we got do some preparatory work in the second quarter there, so we’ll be backend loaded.
Christopher J. DeAlmeida: Yes, the other thing I would add to that Alex is, we think with the work that we have in hand the work that we are going after and just the relationships,[Author ID1: at Mon Mar 3 15:27:00 2014 ] we have with customers that size will be used with our customers and our equipment and that’s one of the reasons why we moved on this, we saw what we had in hand, what’s up coming and just that normal cyclical maintenance needs. That we feel like, will provide us with the opportunities to keep, our stuff busy and that’s how we would intend to use the site.
J. Michael Pearson: And then as far as the [indiscernible] and things of that nature, we are in process with that. This was formally a dredge material placement area, so we think we’ll have good favorable outcome on those.
Alex J. Rygiel – FBR Capital Markets & Co.: It sounds exciting. Thank you.
Christopher J. DeAlmeida: You bet.
Operator: (Operator Instructions). And your next question comes from the line of Scott Levine with Imperial Capital. Please proceed. 
Scott Levine – Imperial Capital Asset Management LLC: Hi, good morning guys.
J. Michael Pearson: Good morning, Scott.
Scott Levine – Imperial Capital Asset Management LLC: Mike, Mark and Chris congratulations as well. 
J. Michael Pearson: Thank you.
Mark R. Stauffer: Thank you appreciate it.
Scott Levine – Imperial Capital Asset Management LLC: With regard to the budget environment, I think I can appreciate what you are saying as far as Army Corps lettings, but would you say the environment is better than it was, say, a year ago or six months ago? Is it a staffing issue? It seems like with the two-year budget, you've got the groundwork, but maybe it just takes a little bit of time for things to pick up. Just trying to assess whether trends in the federal side are better, worse, or the same on the margin?
Mark R. Stauffer: I think they are not worse, they’re certainly not better I think its kind of status quo, I think we this year’s budget process was again dysfunctional as far as fiscal year 2014. And so I don’t think it is any worse than it was last year but it certainly isn’t better now with respect the two year budget deal that is encouraging of course, what that means is that the appropriations for the balance of 2014 fiscal year 2014 through 930 are now in place but again it is still, not the same as having a full year appropriations in place of the beginning of the fiscal year. So as we said in our remarks, we would expect the benefit of that to start flowing through the system towards the latter half of the calendar year, and then the other thing that we’re looking for is now that we do have a two year budget deal on paper anyway it should make it easier to get the apportions bills for 2015, passed and in place before the end of or before the beginning of fiscal year 2015 which starts on October 1. So, that is obviously something we are going to have to monitor. It is an election year so hopefully that doesn’t get in the way. Hopefully, everybody wants to pass those appropriation bills and get on the campaign trail, but should that occur and it’s keyed up to occur the way they’ve done this with the two year budgetary frame work that we could take benefits of that again in the back of the year and on into next year.
Scott Justin Levine – Imperial Capital Asset Management LLC: Got it. Thank you. And as my follow-up, help me understand the potential benefits or implications of both the RESTORE Act and increased coastal work in the Gulf picking up late this year, I think you said. And then, also, assuming a WRRDA bill does pass, we don't know what the fine print looks like, is one significantly more important to your business than the other? Maybe help on understanding potential implications from a magnitude and timing standpoint.
Christopher J. DeAlmeida: My opinion is the WRRDA bill in the Harbor Maintenance Trust Fund it's a part of that, is very important to us to get things jump started. I think the RESTORE Act continues to be a long-term source of opportunities for us. It will kick in probably more into 2015, it could be in the second half of 2014, but I think the WRRDA Act is the one to keep - because if you remember that Harbor Maintenance Trust Fund has only been about half of the money has been appropriated and they’re going to release that funds to about I think 80% of the targeted revenue receipts that they get.
Scott Justin Levine – Imperial Capital Asset Management LLC: Got it. Thank you very much. Nice quarter.
Christopher J. DeAlmeida: You bet.
Operator: Your next question comes from the line of Trey Grooms with Stephens Incorporated. Please proceed.
Blake Anthony Hirschman – Stephens Inc.: Yes good morning guys. This is actually Blake Hirschman stepping in for Trey this morning. I just want to start out by congratulating the three of you on all the new developments.
Christopher J. DeAlmeida: Thank you.
J. Michael Pearson: Thank you
Blake Anthony Hirschman – Stephens Inc.: And then, just one quick question; are there any large projects coming up for bid that we should be watching out for this year? Thanks.
J. Michael Pearson: Yes we’ve got a number of large projects that we are tracking in our database and some that will be coming for bid. Again kind of a gamut of things with the exception as we’ve talked about the choppiness of the core lettings which, generally for us tend to be smaller projects anyway, but as far as large projects, we do see larger projects out there sort of across our end markets that we have in our tracking system. So we are looking forward to bid on those.
Christopher J. DeAlmeida: Yes I think the other significant project out there is, we are looking forward to Huston they have got two container terminals that have to be dredged to new depths and widen themselves so forth, we’re awaiting a word on that one where they are apparent low bidder and we should know something here soon.
Blake Anthony Hirschman - Stephens Inc.: Thank you. That’s all I had. Appreciate it.
Christopher J. DeAlmeida: You bet.
Operator: And at this time we have no further questions. I would now like to turn the call back over to Mr. Drew Swerdlow for any closing remarks. 
Drew Swerdlow: On behalf of Orion Marine Group, we would like to thank you for taking the time to talk with us this morning and we looking forward to speaking with you in the future. Also if you have any follow-up questions, please feel free to give me a call. Thanks and have a good day.